Operator: Welcome to The Joint Corp.’s Second Quarter 2022 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to David Barnard with LHA Investor Relations. Please go ahead.
David Barnard: Thank you, Victoria. Good afternoon, everyone. This is David Barnard of LHA Investor Relations. On the call today, President and CEO, Peter Holt will review our second quarter 2022 performance metrics and provide an update on the business. CFO, Jake Singleton, will detail our financial results and guidance. Then Peter will close with a summary and open the call for questions. Please note, we are using a slide presentation that can be found at https://ir.thejoint.com under Events. Today, after the close of the market, The Joint Corporation issued its financial results for the quarter ended June 30, 2022. If you do not already have a copy of this press release, it can be found in the Investor Relations section of the company’s website. As provided on Slide 2, please be advised today’s discussion includes forward-looking statements, including statements concerning our strategy, future operations, future financial position and plans and objectives of management. Throughout today’s discussion, we will present some important factors relating to our business that could affect these forward-looking statements. The forward-looking statements are made based on our current predictions, expectations, estimates and assumptions and are also subject to risks and uncertainties that may cause actual results to differ materially from the statements we make today. Factors that could contribute to these differences include, but are not limited to, the continuing impact of the COVID-19 outbreak on the economy and our operations, including temporary clinic closures, shortened business hours and reduced patient demand; inflation exacerbated by COVID-19 and the current war in Ukraine, our failure to develop or acquire company-owned or managed clinics as rapidly as we intend; our failure to profitably operate company-owned or managed clinics; our inability to identify and recruit enough qualified chiropractors and other personnel to staff our clinics due in part to the nationwide labor shortage, short-selling strategies and negative opinions posted on the Internet, which could drive down the market price of our common stock and resulting class action lawsuits or failure to remediate the current or future material weaknesses in our internal controls over financial reporting, which could negatively impact our ability to accurately report our financial results, prevent fraud or maintain investor conference and other factors described in our filings with the SEC, including in the section entitled Risk Factors in our Annual Report on Form 10-K for the year ended December 31, 2021, filed with the SEC on March 14, 2022, and subsequently filed current and quarterly reports. As a result, we caution you against placing undue reliance on these forward-looking statements and encourage you to review our filings with the SEC for a discussion of these factors and other risks that may affect our future results or the market price of our stock. Finally, we are not obligating ourselves to revise our results or publicly release any updates to these forward-looking statements in light of new information or future events. Management uses EBITDA and adjusted EBITDA, which are non-GAAP financial measures. These are presented because they are important measures used by management to assess financial performance. Management believes they provide a more transparent view of the company’s underlying operating performance and operating trends than GAAP measures alone. Reconciliation of net income to EBITDA and adjusted EBITDA is presented in the press release. The company defines EBITDA as net income or loss before net interest, tax expense, depreciation and amortization expenses. The company defines adjusted EBITDA as EBITDA before acquisition-related expenses, bargain purchase, gain or a net gain or loss on disposition or impairment and stock-based compensation expenses. Management also includes commonly discussed performance metrics. System-wide sales include revenues at all clinics, whether operated by the company or by franchisees. While franchise sales are not recorded as revenues by the company, management believes the information is important in understanding the company’s financial performance because these sales are the basis on which the company calculates and records royalty fees and are indicative of the financial health of the franchise base. Comp sales include the revenues from both company-owned or managed clinics and franchise clinics that in each case have been open at least 13 full months and exclude any clinics that have closed. Turning to Slide 3. It is now my pleasure to turn the call over to Peter Holt.
Peter Holt: Thank you, David, and I welcome everybody to the call. During the second quarter of 2022, our growth momentum continued. Before I go into greater detail, I’d like to welcome our new and returning investors in addition to our existing shareholders. As you know, The Joint is revolutionizing access to chiropractic care by providing affordable concierge-style, membership-based service in convenient retail setting. We’ve had a huge addressable market in both size and opportunity. First, The Joint accounts for only 2% of nearly $18 billion spent annually in the United States on chiropractic care. Next, our system provides the most robust environment for chiropractic clinics to excel financially, demonstrated by our research comparing average collections of independent practices to average sales of our clinics in our network. In addition to our strong unit economics, our hybrid business model continues to position us for long-term growth. Our corporate clinics will drive long-term bottom line improvement. Our franchisees will continue to fuel our expansion in a capital-light fashion. As we increase our scale and presence, bringing us closer to our interim goal of 1,000 clinics, our national brand awareness also increases, adding further momentum to our expansion. That said, it’s important to reiterate our commitment to responsible growth, which means our highest priority remains maintaining our high standards in providing quality patient care. To that end, we closely monitor clinic performance. As discussed during our Q1 2022 earnings call with a large influx of greenfield openings in late 2021, coupled now with our managing a portfolio of over 100 units, we experienced a temporary negative impact on our corporate clinic portfolio, and we took swift action. We’ve sharpened our focus on supporting our doctors of chiropractic and our wellness coordinators. And we’ve strengthened our oversight of our corporate units. As a result, we delivered improved Q2 2022 clinic performance compared to Q1 2022. Turning to Slide 4. I’d like to review our financial highlights for Q2 2022 metrics compared to Q2 2021. Jake will discuss our results in greater detail in a moment. System-wide sales grew to $106 million, increasing 21%. Our comp sales for clinics that have been opened for at least 13 full months grew to 8%. Revenue increased 24%, adjusted EBITDA was $2.6 million. And at the end of June 30, 2022, our unrestricted cash was $9.4 million, compared to $19.5 million on December 31, 2021, reflecting our strategy of investing in our corporate clinic portfolio as well as our acquisition of regional developer territory rights. Turning to Slide 5. Again, Q2 performance improved compared to Q1 2022. It also compared well to Q2 2021, especially when taking into consideration that, that quarter delivered record-breaking performance due to an exceptional rebound from COVID and capture pent-up demand in both clinic openings and franchise license sales. Regarding clinic expansion, during Q2 2022, we opened 34 clinics, up from 31 clinics in Q1 2022. Of the 34 opened in Q2, three were greenfield clinics and 31 were franchise clinics. Also, during Q2, one franchise clinic closed compared to none in Q2 2021. The Joint continues to have very low clinic closure rates as less than 1% annually. In Q2, consistent with our growth strategy, we opened three greenfield clinics in Arizona, Virginia and New Mexico, which have increased our presence in existing corporate clusters. Year-to-date in 2022, we opened 65 clinics, 58 franchises and seven greenfields. This compares to 54 openings in the first six months of 2021 that consisted of 48 franchises and six greenfields. Also in May, we acquired four previously franchised clinics. Our multi-unit franchisee with clinics in both Arizona and California wanted to consolidate their clinic ownership to California thus creating the opportunity for us to buy their high-performing, mature clinics in Arizona. This expanded our headquartered region cluster to 24, easily incorporated into the portfolio. These clinics improved our corporate clinic operating margin and were immediately accretive to our bottom line. The purchase price of $5.8 million reflected the strength of these clinics and was in line with previous acquisition valuations. In summary, at June 30, 2022, we had 769 clinics in operation, consisting of 662 franchise clinics and 107 company-owned or managed clinics, maintaining a portfolio mix of 14% corporate clinics to 86% franchise clinics. At the end of the quarter, we also had 270 franchise licenses in active development compared to 283 on December 31, 2021. This metric continues to demonstrate the strong pipeline for franchise clinic openings and reflects both the accelerated number of franchise openings as well as ongoing increased interest in our franchise system. Subsequent to quarter end, we completed several more transactions that built upon our clustered location strategy. We acquired three previously franchised clinics in North Carolina and one clinic in Scottsdale, Arizona. We also opened up one greenfield clinic in California and our first two greenfield clinics in Kansas City, which is a new market for us where we expect to expand to at least five clinics in a relatively short period. This increased our corporate portfolio to 114 clinics as of August 4, 2022. Turning to Slide 6. In Q2 2022, we sold 24 franchise licenses, up from 22 licenses in Q1 2022 compared to 63 in Q2 2021. Year-to-date, 2022, 46 licenses were sold, 67% by regional developers. This compares to 89 licenses sold in the first six months of 2021. As of June 30, we had 19 RDs supporting 67% of our franchise clinics. Their territories covered 55% to the metropolitan statistical areas, or MSAs. The aggregate 10-year minimum development schedule for our new RD territories established since 2017 was 640 clinics as of June 30. Keep in mind that a portion of this clinic count is already opened, but the remaining unopened clinics still provide a large foundation to fuel our continued clinic expansion and sales growth. Our RD program continues to deliver accelerated expansion. However, under certain circumstances and when territories mature, we’ll acquire RD territories. In April, we purchased the rights for the Northern California for $2.4 million. Our model indicates that the region has a potential for 75 clinics. Already, 20 franchise clinics are in operation and 36 sold licenses are in active development. This leaves room for another 19 sites for future corporate or franchise clinic development. In May, we hosted our National Franchise Conference with the theme Align 2022. During this well-attended event, we aligned our strategies and our tactic, celebrated our successes and culture, shared our latest research, listened to inspiring industry and business visionaries and continued developing the future leaders of our growing chiropractic movement. There were multiple noteworthy takeaways, and I’ll share some of the compelling research that we reviewed during that event. Turning to Slide 7. According to FRANdata, which analyzes the franchise landscape of approximately 3,500 franchise businesses in the United States, today, only 4.9% have more than 500 units. Even more notably, only 94 brands, approximately 2.7%, have grown to over 1,000 units and benefit from the significant brand awareness that, that creates. According to the 2022 essential guide of pricing business and franchisees, The Joint is an elite franchise system. And based on the analysis of the franchise unit sales price, our clinics garner higher valuations in the majority of franchise concepts, further enhancing the attractiveness of our franchise offering. Turning to Slide 8. We also evaluated data from the Annual Chiropractic Economic Compensation Survey comparing two alternatives available to chiropractic, becoming an independent practice or joining the franchise – joining our franchise concept. According to the survey, the average independent practitioner collected about $264,000 in clinic – per clinic in 2021. By comparison, in 2021, the average gross sales per clinic of The Joint was 2.3 times greater at almost $600,000. Further, the studying – the data from 2017 to 2022, independent clinics billings decreased 14% and collections decreased 11%, while the average gross sales per Joint clinic grew 76%. Turning to Slide 9. During our national conference, we were also presenting awards to our high-performing clinics. The number of 2021 Bronze, Silver, Gold, Platinum and Diamond Honorees grew markedly over 2020. In 2021, 308 clinics achieved sales greater than $550,000 or up 82% from the 169 clinics of 2020. That included 41 Platinum clinics with over $1 million in sales, more than 4 times higher than the nine platinum clinics in 2020. Finally, in 2021, we doubled our diamond category as a second clinic achieved a remarkable milestone of over $1.5 million in sales for the year. This volume – this unit volume increase – success continues to attract more sophisticated franchisees and the positive cycle repeats itself. It also illustrates that our clinics have more room to expand their patient base, creating additional clinic value as well as overall enterprise value. Turning to Slide 10. Let’s review our marketing efforts. In Q2, we continued to leverage our growing scale and resources by investing in brand building and lead generation at the national, regional and local levels. This tier approach provides clinics with a degree of marketing support and sophistication that is unprecedented in chiropractic. It also enables us to test tactics before they’re added to the toolkit for individual clinics. Nationally, we’re consistent advertisers in multiple digital marketing platforms. Regionally, we made many of our co-ops invest in broadcast media and sports sponsorships such as our June announcements with the North Fork Tide, a Minor League Baseball team. And locally, our clinics nurture prospects within their own trade areas by utilizing our proven local marketing tactics. This support, combined with the power of our data from millions of patient transactions, provides clinics with a significant competitive advantage in attracting new patients, another facet in the development and management of our online marketing strategy, which is essential for reaching millennial and Gen Z consumers seeking solution for pain relief. One challenge we navigate is adapting to Google’s frequent changes in their search algorithms, which can impact our online visibility. Such a change occurred in late 2021 and continued to negatively impact our organic search traffic into Q2. While our new patient acquisition remains exceptionally high when compared to historic levels, we’ve been implementing changes to our search engine optimization activities across the network. As a result, our July online traffic improved, which indicates our new patient acquisition pipeline is increasing. In June, we executed our annual summer sell direct marketing promotion, where we targeted lapsed patients with a limited time offer to restart their membership with The Joint. We achieved the highest number of conversions per clinic and our highest-ever conversion rate is the promotion with a five-year history. The success of the summer sale once again demonstrates the potential growth in marketing through our own database as well as the progression of our digital marketing tactics, which we expect to further leverage with the harness of the power of our data enterprise initiative. And with that, Jake, I’ll turn it over to you.
Jake Singleton: Thank you, Peter. And turning to Slide 11. I’ll review the financial results for Q2 2022 compared to Q2 2021, which, as Peter mentioned, was a record-breaking quarter, benefiting from demand built up during the early part of the pandemic. System-wide sales for all clinics opened for any amount of time increased to $106 million, up 21%. System-wide comp sales for all clinics opened 13 months or more were 8%. System-wide comp sales for mature clinics opened 48 months or more were 3%. It’s worth noting that both the franchise and corporate clinic cohorts comped positively, and we look forward to growth as the impact of our price increase continues to come into effect. Revenue was $25.1 million, up $4.8 million or 24%. Company-owned or managed clinic revenue increased 27%, contributing $14.5 million. Franchise operations increased 20%, contributing $10.6 million. The increases represent growth in both the corporate portfolio and the franchise base. On March 1, we implemented a price increase in the majority of our clinics. However, existing patient memberships are currently grandfathered at their original price. Therefore, the revenue impact from the price adjustment will be gradual and incremental. Cost of revenues was $2.4 million, up 19% over the same period last year, reflecting the increase in franchise clinics, the associated higher regional developer royalties and commissions and higher website hosting costs related to the new IT platform. Selling and marketing expenses were $3.8 million, up 23% over the same period last year driven by an increase in advertising fund expenditures from a larger franchise base and an increase in local marketing expenditures by the company-owned or managed clinics. Depreciation and amortization expenses increased compared to the prior year period, primarily due to the depreciation expenses associated with our new IT platform and continued greenfield development. G&A expenses were $16.5 million compared to $11.6 million, up 42%, reflecting the cost to support total clinic and revenue growth, greater IT expenses; higher payroll, including the increase in salaries for DCs, which began in the latter half of 2021, and for wellness coordinators, which continued through the second quarter of 2022. All these to remain competitive in the tight labor market. As noted previously, our pace of greenfield openings will increase G&A as a percentage of revenue over the next several quarters and will also compress earnings. As a result, we reported an operating income of $473,000, which reflects the compressed margins from accelerated greenfield development, the aforementioned higher depreciation and higher G&A expenses. This compares to $2 million in Q2 2021. Income tax expense was $109,000 compared to a benefit of $666,000 in Q2 2021. Net income was $345,000 or $0.02 per diluted share compared to net income of $2.7 million or $0.18 per diluted share in Q2 of 2021. Adjusted EBITDA was $2.6 million compared to $3.8 million for the same period last year. Franchise clinic adjusted EBITDA increased 13% to $4.4 million. Company-owned or managed clinic adjusted EBITDA was $1.8 million. While the Q2 2022 margin for corporate clinics has improved over Q1 2022 compared to Q2 of last year decreased $1.2 million, reflecting the margin compression related to the greenfield development and higher payroll expenses. Corporate expense as a component of adjusted EBITDA loss was $3.6 million, increasing $433,000 compared to Q2 2021. On to our balance sheet and cash flow review. At June 30, 2022, our unrestricted cash was $9.4 million compared to $19.5 million at December 31, 2021. During the first half of the year, our investing activities of $11.4 million consisted of the acquisition of RD territory rights, franchise clinic acquisitions and continued greenfield developments, which were partially offset by $1.5 million provided by operating activities. On to Slide 12. I’ll review our results for the first six months of 2022 compared to the same period in 2021. Revenue increased 26% to $47.5 million and adjusted EBITDA was $4.4 million compared to $7.2 million in the prior year period, reflecting the compression of earnings by the influx of new corporate greenfield clinics and higher payroll expenses associated with the tight labor market. On to Slide 13. We are reaffirming all elements of our guidance for 2022. We continue to expect revenue to be between $98 million and $102 million. The midpoint is up 24% compared to the $80.9 million in 2021. We continue to expect adjusted EBITDA to be between $12 million and $14 million compared to $12.6 million in 2021. We continue to expect franchise clinic openings to be between 110 and 130 compared to 110 in 2021. We continue to expect to increase our company-owned or managed clinics by between 30 and 40 through a combination of greenfield openings and franchise clinic purchases. This compares to 32 in 2021. And with that, I’ll turn the call back over to you, Peter.
Peter Holt: Thanks, Jake. Turning to Slide 14. As noted, our hybrid business model has supported our long-term growth through various market cycles and our momentum continues as demonstrated by our performance. Even though we’re all experiencing macroeconomic issues outside of our control, we continue to focus on what we can manage. And for 2022, our three enterprise initiatives are to forge a chiropractic dream, harness the power of our data and accelerate the pace of our clinic growth. With an eye for long-term benefits, we are implementing these independent programs simultaneously. First, we want to become the career path of choice for DCs while we’re improving our team members’ experience by enhancing their culture and providing training and benefits and increased compensation. Forging a chiropractic dream will help us differentiate ourselves as an employer in a very tight labor market. We’re distributing new recruitment materials and evangelizing our system. Our team is also deepening our relationships with chiropractic universities and associations to educate current and future DCs. To date, we are excited about the reception and inroads we’re making in this crucial area. Next, we want to make sure our information is more accessible and actionable by decision-makers by harnessing the power of our data. This includes development of a data warehouse to enable more real-time, self-serve reporting capabilities at the corporate office and in the field. This also includes advancements in marketing automation and development of our mobile app for direct patient engagement. And finally, we want to increase our long-term return on investment for franchisees, employees and shareholders by accelerating the pace of our clinic growth. As emphasized in my earlier comments, we are committed to responsible growth and closely monitoring the system to ensure we uphold our clinic performance standards. In our clinic development time line – yet, we can implement tactics to support this expansion by shortening our clinical development time line; enhancing regional support; evaluating nontraditional site options, including rural, urban, micro, military and even international locations; and increasing national brand awareness. Turning to Slide 15. I’m confident in our ability to drive long-term growth and stakeholder value. Victoria, I’m ready to turn it over for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Jeremy Hamblin with Craig [ph] Capital. Please go ahead.
Jeremy Hamblin: Thanks for taking the question. So I wanted to start with a comment you made about kind of Google search traffic data and improvement on your algorithms and your working with the changes in their service. I think you noted that you saw an improvement in – inbound traffic into your website over the last several months. How would you characterize that? Would you say kind of maybe March was kind of a low point in that? You’ve seen continuous improvement? Or are you seeing something more specific to, let’s say, the last 30 to 45 days?
Peter Holt: Well, when we look – Jeremy, thank you for the question. And we all know how important our digital marketing campaign is to our new patient count. And as we talked about in the last quarter is that we can identify at least 63% of our new patients at some point touch our digital marketing campaign. So it’s obviously really critical for us as we go forward. And we did, as we talked about in Q1, is with the algorithmic change. We saw a drop, particularly in our organic search of new patients. And so that we have made adjustments to how we are managing that process, literally on the line level so that we’re upgrading our micro sites. We’re enhancing the bios of our doctors. We’re putting back clicking on those sides, all these different strategies that you utilize to increase your standing when the one – that patient or potential patient is doing their search. And so what we saw was particularly in the month of July that – because we were probably down compared to last year, around 20% with this impact. And when we look at July, it was where we really saw that significantly increasing. We haven’t hit where we were last year, but we’re believing that the changes that we’re making, working through our franchise system that we are, in fact, seeing an increase now in that digital lead of patients.
Jeremy Hamblin: Okay. Great. That’s helpful. Understanding the kind of margins here, right? In – G&A costs that are higher, sales and marketing costs that are higher [indiscernible] some of the acquisitions that you’ve made over the last four, five months. One – I think you noted or how you characterized it on the call was that it would be several quarters in which you would see margin headwind and G&A deleverage. With the benefit now of being more than halfway through 2022, do you have a better sense of when you think that inflection or that headwind might kind of bottom out and you start to see margins or in particular, G&A start to inflect positively and gain some leverage?
Jake Singleton: Yes. Another good question, Jeremy. I think it’s really dependent on the cadence of our greenfield development. When you put in 13, 14 clinics in the last 100 days of 2021 you’re going to have a very significant suppression in the quarters where they’re still in their working capital loss period. So I think it’s somewhat dependent on the pace of our greenfield development. I think you’ve seen in the first couple of quarters that, that pace has softened from what we saw at the back half of 2021. And in turn, you’re seeing the clinics continue to mature, and you’re seeing those margins expand, which is exactly kind of what we would expect as they go on to mature and reach those breakeven points. As we mentioned in previous calls and continue to see the clinics are still starting strong, and they’re performing to what we would expect from a pro forma ramp perspective. So I think part of that in terms of when the potential nature would be is really dependent on the pace of development. We’re going to continue to invest in greenfields. But to do that many in a short period of time, I don’t know if we’ll get back to that pace. But again, that’s really what drives the compression. And clarifying the comment, the more we do greenfield development, you’ll continue to see those early period losses compress margins. So it’s really dependent on the cadence, I think, in terms of where you might see that bottom out. But I think Q2 is a good example of when the pace moderates, you can see that margin expansion start to come back.
Jeremy Hamblin: So – but getting to your $12 million to $14 million of adjusted EBITDA guidance for the year would imply that you’re going to generate at least $7.5 million and up to nearly $10 million in adjusted EBITDA in the back half of the year, which would require kind of a margin improvement in the back half of the year. So in terms of just giving us a little bit of confidence around that, presumably, you would see some sort of inflection here in the back half of the year. Is that a fair assumption?
Jake Singleton: Yes, some tailwinds that you’ll see in the second half of the year are the continued benefits of our price increase, the more new patients that roll on to that higher price point will certainly have an advantage for us. And then also the fourth quarter are two of our heaviest promotions, which really help boost from a franchise margin perspective, which is just a natural kind of reoccurring phenomenon for us just in our promotional calendar. So I think those two things with our continued dual strategy – we’re going to continue to invest in greenfield, and we’re going to continue to target accretive acquisitions, the same that we always have. So I think all those we’re taking into account when reaffirming that guidance for the year.
Jeremy Hamblin: Okay. Last one for me then. You’re just looking ahead even a little bit further than, if you’re on – you did 32 company-operated last year, you’re looking for 30 to 40 this year. Is that probably a fair number to think about as you look towards 2023? Or is there something where there’s going to be a meaningful change, either up or down to that range that you’ve been in now for the last couple of years?
Jake Singleton: Yes. As of right now, we see nothing that changes our strategy. We’ll continue to invest in the unit growth. And we’re still seeing the clinics ramp strong and contribute strong as they go on to mature – so while we don’t give any forward guidance for 2023 to this point, we’re not seeing anything that would cause us to deviate from our strategy.
Jeremy Hamblin: Got it. Thanks so much for answering the question. Best wishes.
Jake Singleton: Thanks, Jeremy.
Operator: Next question comes from Jeff Van Sinderen with B. Riley. Please go ahead.
Jeff Van Sinderen: Hi, everyone. I guess, one thing I wanted to start with, is there any more color you can give us on sort of the underlying KPIs around new customers, retention, average size of packages purchased? And then I guess, plans to further improve those metrics in second half? Obviously, Q4, you do run a big promo. And then I guess overall impact around your thinking – or overall impact from a slower consumer discretionary environment in general?
Jake Singleton: I’ll start, Jeff, and Peter, you can layer on. As I think about three of our core metrics, new patients, conversion and attrition, as we look at the kind of phenomenon through the second quarter, again, we mentioned it in the script, new patients continue to be strong, although they’re lower than we saw during Q2 2021. So I think we’ve got a little bit of a headwind as it relates to the new patients. And while they’re still healthy, it’s down year-over-year. As I look at the other two metrics, we’re seeing favorable conversion, and we’re seeing favorable attrition. And so those two are trending well for us in the second quarter. And those really are core items that we monitor in terms of the unit health and how we’re continuing to grow our active member basis. So those are looking strong. We had the price increase that came into effect March 1. We’ve now got a number of months under our belt to see what that is looking like. And again, similar to our previous increases, those KPIs are holding up for us. And so we mentioned the Google changes that we continue to work on. We’re seeing those SEO and organic search numbers continue to rebound, which I think will help our new patient traffic into the third quarter and beyond. And we’re looking for our clinic teams to continue to execute and keep those conversion and attrition metrics strong.
Peter Holt: No, I think that’s absolutely right. And I think to answer your question about the impact of slowing consumer confidence or recession or whatever we’re talking about is that obviously, I don’t know if we’re there or not, but as you can see in our continued performance of the quarter is that you would say that certainly doesn’t feel like it’s impacting us in any measurable degree. As I think about going forward and if we truly go into recession and you have that consumer who’s tightening their belt and really making choices about what they’re going to do with that discretionary income I would believe, and I think it’s true, is that the management of pain has a higher priority than buying their frozen yogurt or getting a cup of coffee. I think we saw that as well in the pandemic, which is if we think about consumer confidence is one of the biggest challenges I certainly faced in my life is the pandemic. And what we saw is that the remarkable resilience of this concept in that period. And that was truly driven by the fact that our patients saw their health care is essential through health care – through getting your chiropractic care was essential to their health. And so when I think about some pending recession or what that’s going to impact, we know that affordability is essential to this brand. And we talk about our ideal family income somewhere between $50,000 and $105,000. And I think if we look at the bottom of that funnel, as people are tighten up their belt, would we expect to see some fallout there? I think so. But I think this also opens us up on the higher end of that funnel because historically, for the higher income family, what that is paying at $75 or $150 for an adjustment. And as they’re tightening their belt, I could imagine them asking themselves, well, how bad could be that $29 adjustment at The Joint. And so I think there’s an opportunity that on the upper end of that funnel that it will increase that could offset any kind of potential losses for those families who are truly tightening their belt. But we also have to remember, this is not a very discretionary service. This is something that is core to our patients, their health.
Jeff Van Sinderen: All good points. And then I wanted to circle back if you could, just to the level of improvement that you’re seeing in the corporate-owned clinics, the performance metrics there versus maybe franchise performance. I’m just wondering if we’ve gotten back to where the corporate clinics are performing above the franchise clinics? And I guess along those lines, what other initiatives do you have planned to improve corporate owned performance to get that metric, I guess, at the highest level you possibly can?
Peter Holt: Sure. And what I would say, Jeff, is that absolutely – is that we want the whole system to perform well, but we compare ourselves to each other. And when I look at those three metrics that Jake mentioned, our new patient counts, our conversion and our attrition, and I compare the improvements made by the franchise clinics before – compared to the corporate units. In all three instances, we were higher in our performance in the corporate portfolio than the franchise. Now where we are still seeing a difference is our corporate portfolio is underperforming compared to the franchise when we look at comps. Part of that is just the age of our overall portfolio compared to the age of the overall franchise system. There’s also kind of a trailing component to comps as it relates to our membership. So we expect that to improve going forward. What gives me confidence is, I think the changes that we made in these last six months in improving our onboarding, our training, our compensation, creating more of a connection to our employees and what we’re doing on the field is that we are seeing improved performance on the clinic level. And I would expect that to continue to perform as we go through the rest of the year.
Jeff Van Sinderen: Okay. If I can just squeeze in one more and you may not want to answer this question, but as you’re looking forward and kind of looking at your model and the number of corporate clinics, you’ll have new greenfield openings. Any thoughts on when you anticipate year-over-year inflection in EBITDA for the whole company?
Jake Singleton: I’m not sure I understand. The inflection in EBITDA for the consolidated company?
Jeff Van Sinderen: Yes, correct. Yes. I’m just trying to get a sense of when you think we’ll see – obviously, there’s pressure on expenses with more corporate. You have – you’re opening more greenfield. Don’t you think we sort of get back to a trend of running a, let’s call it, adjusted EBITDA sort of positive year-over-year on an ongoing basis, I would say?
Jake Singleton: Sure. Yes. And again, a lot of that is dependent on the continued greenfield development. That’s going to be a consistent phenomenon in this model, and I just can’t stress it enough. The clinics take time to ramp. So we’re continuing to invest in those and certainly investing in new markets, there’s amount of infrastructure that goes with that. We just announced that we opened up the Kansas City market, and we’ll continue to invest in our infill markets and new markets. And with that, it takes time to scale. And so as we’ve developed the model and as we look at the pace, there will be a near-term suppression as we continue to work through those greenfield development and those early working capital losses. Where you get the inflection point is that any time we have the ability to slow the pace of that development and just let those clinics continue to mature. And looking at the pro forma ramps and how they’re starting, we still expect those same four-wall margin potentials that we’ve seen. And as you build out and develop out your clusters, you get the leverage from your field overhead and all the infrastructure investments that you’ve made and that’s always a lever that we have at our disposal. But really, when is that inflection point until we signal that we’re slowing the pace of that development, you’re going to continue to see the phenomenon. It’s really just dependent on how quickly we go and how much of that is dedicated to greenfield pace.
Jeff Van Sinderen: Okay. Fair enough. Thanks for taking my questions and best of luck for the rest of the quarter.
Jake Singleton: Thanks, Jeff.
Peter Holt: Thank you very much.
Operator: Next question comes from Brooks O’Neil with Lake Street Capital. Please go ahead.
Brooks O’Neil: Thank you. Good afternoon. You guys always provide such comprehensive information. We really appreciate it out here. But I guess one piece that I’m not sure I heard or I probably missed in your conversation is kind of the – kind of breakeven that you’re seeing with these new corporate stores. I personally think that’s one of the most notable and positive things about your performance. How is it going out there now?
Jake Singleton: Yes, great question, Brooks. We continue to see similar performance that we talked about in the first quarter. The top line is performing to expectation. We have a great grand opening marketing plan in place. Our operational execution in the early months is really strong. We continue to learn things from our great franchise operators. So our top line performance is there, and we’re attracting a lot of interest in the early months of these clinics same thing that we said in the first quarter as we continue to see the wage pressure. The DCs and the WC wages have increased from our historical levels. But really, that’s pushed our time to breakeven by maybe one month or two months. So if your top line is still performing strongly, again, we’ve got additional favorability that’s coming from the price increase, the clinics that are opening now are all on the higher price points, which will continue to help that. So my pro forma model still looked very similar in the long run in terms of margin potential. And then certainly, we’re encouraged by all the starts and performing to top line ramp to date.
Brooks O’Neil: Yes. That’s great. I’m glad to hear that. I’m sure you’re really pleased to see it as well. But let me ask one more. Obviously, for a number of years that I followed you guys performance, you’ve delivered just unbelievable comp store sales growth. Obviously, in the last couple of quarters, the numbers are still tremendous relative to the rest of the world, but they’re lower than they have been historically. Why don’t you just talk a little bit about what’s going on there? And maybe if you would, what do you think we should expect to see over the next few quarters or the next year or whatever time frame you’d like to talk about?
Peter Holt: Sure. And as you know, we don’t guide on our comps. And you’re absolutely right. If we look at Q2 with 8%, if I was – any other company but us, they’d be wildly happy about it. And for us, it’s like, wow, [indiscernible] but I also think you have to put it into a context is that we had a record break in Q2 2021. And if you do like a two-year stack comp, it’s almost – it’s 60%-ish. So what we’re doing in all of these numbers is we’re measuring performance of Q2 2022 compared to Q2 2021 is that we are overcoming one of the strongest quarters in the history of this company. And even in that case, you’re seeing growth virtually in every one of those numbers, which gives us confidence of our momentum continuing to build. As we look at the performance of our portfolio, we believe again with the price increase coming in, we’ll continue to see positive comps for the rest of the year. And that’s – we’re seeing that as we continue to build this business. So as we measure every cohort that we’ve got out there, they’re all positive comps to date. And so we’ve got the price increase. It’s going to be continuing to support those comps as we go forward. We see continued interest in the business, attracting those new patients, which continues to help build the business of all of our clinics, so that we are strong and our belief in the momentum that will continue to fuel the growth of this business.
Brooks O’Neil: Great. Thank you very much for taking my questions.
Peter Holt: Thank you.
Operator: Next question comes from George Kelly with ROTH Capital Partners. Please go ahead.
George Kelly: Hi everybody, thanks for taking my questions. So first, I wanted to just revisit one of the last questions that you just answered about the ramp. Could you quantify just how many months is it at this point as you’re looking at these recent openings going back over the last few quarters, when is the breakeven? Is it still around six months? And what is the amount, if you could quantify that – just that’s invested in that until breakeven?
Jake Singleton: Sure. Yes. And it really depends on how quickly they ramp in terms of quantified total impact in terms of time to breakeven on a gross dollars basis. You’re right, historically, we were seeing around that six-month time frame. I think with the additional costs, you’re probably looking at seven to eight-month time frame. So that’s that one to two-month slide that I was talking about we used to see breakevens on a monthly basis around $25,000 a month, maybe. That’s probably $27,000, $30,000 a month now. So again, you’re not talking about half a year later, it’s taking – it’s really just a couple of months to get to that breakeven point. So I’d say it’s probably around seven, eight months at this point.
George Kelly: Okay. And so maybe all in and somewhere in the neighborhood of $110,000, $120,000 that – it takes to get to that breakeven?
Jake Singleton: Yes. It really just depends. On a 12-month basis, you’re probably looking at $75,000. So that’s them incurring kind of the swaths of losses in the earliest months. And that dwindles as you reach that breakeven point and then you get some offset in the second portion of that year as you’ve turned the corner from a breakeven perspective. But again, it really just depends on how quickly clinics are ramping in terms of how much accumulated losses they’re seeing. But on an annualized basis, it’s probably somewhere around that $75,000, $80,000.
George Kelly: Okay. Great. And then I wanted to follow-up on pricing. It seems like it – but just sort of to make sure that I confirm that I heard you right on it. You’re really not seeing much of a negative impact from the pricing increase as far as on transactions or volume. I mean, why should I not read into the commentary about new patients being a little weaker than expected and think that there’s been pressure from pricing? Is there a way for you to kind of isolate pricing when you were testing?
Peter Holt: Yes, there is. And we’ve looked at it and we’ve looked at it in the past when we’ve done – the last time we did a full national price increase was 2016, and then we did those market adjustments in 2019. And when we’re looking at the metrics that new patient count, the conversion, attrition, overall, we saw that the price increases were either neutral or positive to the business. And that an analysis we’ve done so far since the price increase since March 1, we’re finding the same thing. Our attrition is actually improving. Our conversion is actually improving. And when we talk about the new patient count being down a little bit, I think we associate far more with the organic search of algorithm or the algorithmic change with Google made impacting our organic search than a patient not taking a membership because of the higher price increase. So that’s what our data would show us.
Jake Singleton: Yes. And another layer to that, George, is not every clinic in our system moved. We had some that had benefited from a market adjustment fairly recently. So not all of our clinics moved. So we actually had a static control group where we could look at their KPIs as well and kind of give us a basis to how clinics that changed are performing versus clinics that did not have a price change, and we’re seeing very similar results. So to me, that indicates that there’s some more macro issues or search issues versus true representation from price increases.
George Kelly: Okay. And then last question for me is on your the wellness coordinators and other employees that – chiropractors and regional managers. Do you – I know that there’s been a lot of discussion for the last few quarters, just about turnover and retaining employees, and challenges there and changing pay. Is it feeling more stable? Or is it still kind of something you’re having to adjust to all the time? It’s still tough?
Peter Holt: Listen, it’s a tough market. We have to start with that. I’ve never been in a market that is so employee positive if you’re looking for a job, but there’s no question that we have seen improvement. We talked about that with the DCs in terms of making the pricing – or their compensation changes in August of last year. We have seen a drop in that turnover rate, and we’re continuing to see a stabilization in that area. So we feel – we’re not done, but we’re feeling positive about that. We are a little slower to work with the WCs. We’ve made those changes earlier this year. And again, while we want to continue to see that turnover rate come down is that we have significantly improved compared to where we were, let’s say, in Q4 2021. So we are laser-like focused on this issue. It’s very essential for us as we continue to make them our – performance of our clinics, but we are definitely seeing improvement compared to where we were.
George Kelly: Okay. Thank you.
Operator: Next question comes from Anthony Vendetti with Maxim Group. Please go ahead.
Anthony Vendetti: Thank you. Yes. So it just in this current environment, whether we’re in a recession or we might enter one, through COVID, you didn’t have any issues at all. It seems like certainly throughput through your clinics didn’t decline at all. If we were to go into a recession, have you done any studies or do you have any data to show what you – what the impact would be to your centers? Or what do you anticipate the impact to be if you go into a recession?
Peter Holt: Sure. It’s a pleasure. The answer is that this company has never actually gone through a recession, so I don’t have any data or experience to say, okay, this is what we would – what we experienced when we saw this level of recession and so that we could extrapolate to expect that in this one. This – I think you’re absolutely right. I don’t know if we’re in a recession. We’ve had two quarters of negative growth, with very minor – most recessions in my career are also associated with a high unemployment in those same two quarters, that was 3.6% unemployment for both quarters. This is different. And so I don’t – it’s hard to imagine what to expect. And like I said earlier in the previous question, is that if we’re trying to understand the impact of the recession, it feels like the pandemic is a good indicator of what to expect. The resiliency of this concept in that – through the pandemic gives me comfort that if and whatever we come – that we face with the recession and how deep it is and how long it is, I feel that the nature of our service being so essential to helping people get better to relieve their pain feels like it will take a precedent over all other discretionary choices that they’re going to be making. And so I think that we would expect to see, like in the pandemic, we would be less impacted by a recession and certainly other kind of retail concepts that we track.
Anthony Vendetti: That’s kind of what I thought, Peter, but just if it were to happen and you did see some pullback as you’re going through your planning, because there’s obviously a planning stage and there’s a build out of some of these corporate own centers, how much flexibility do you have to pull back on the greenfield? Would it take months to do that because it’s months in the planning session, just give us a little bit of color on how look at that.
Peter Holt: Sure. So if we’re – let’s say that we’re going into recession, we’re in an environment or in a space where we really want to preserve cash. And we think, okay, what are the things that we do to manage our cash or utilize our cash? One of the first things is acquisitions and that that’s a 100% discretionary, and that you can turn it off with a dime and boom, so that’s easy. You’re right. The greenfields do have a longer tail because you’re going through that site selection, you’re getting up to lease negotiation. You’re going to find the LOI. Once the LOI is built, then you have the lease negotiations. Then you have the build out of the clinic and there are moments all along that way that you can pause at no cost. So for example, okay, I’m just not going to look for any new site for a period or that you say, okay, I’ll move forward in some of these things, but I may slowdown the time I’m taking the time I get open because we know the real costs of that Greenfield isn’t so much in the buildup, but more in that those operating losses until we get to breakeven. And if you look at 2020, that’s exactly what we did. Not – none of us assuming that the pandemic was going to hit in March 2020, we had – or let’s say January of 2020, we had plans of opening a fair number of greenfields that the pandemic hit. We said, you know what, we need to preserve cash. And you saw that we did, so that we drew down on a line of credit. We slowed down our greenfield. I think we opened up one greenfield in 2020. And then we picked it back up in 2021 when we saw, okay, we can get through this. So I – we do have some levers there to protect our capital. We also are very capital and generative. We generated $1.5 million in operating capital this quarter. We generated $15 million in the full year 2021. So I feel like we have some strong support there to face whatever’s going to happen in the next six months or so.
Anthony Vendetti: Okay, great. And then just maybe one question for Jake, the gross margin was a shade over 90%. Is that a good base to go off of or is it going to fluctuate in the very high-80%s to this 90% or so?
Jake Singleton: No, I think it’s fairly representative. Most of our clinic level costs are down in G&A. And so really the components of cost of revenue for us on a consolidated basis are relatively predictable. We are seeing continued web hosting costs, which we put into that line, just as our platform scales and the amount of data that we have. But I think as a percentage of sales, I think it’s pretty representative.
Anthony Vendetti: Excellent. Thanks. I’ll jump back in the queue. Thank you.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference over back to Peter Holt for any closing remarks.
Peter Holt: I want to thank everybody for their time today. Before I close, I’ll share a few comments from an expanding franchisee who was named our Joint Rookie of the Year Award in 2021. And he owns multiple businesses, including several franchise concepts in the real estate brokerage. And after he and his wife visited the first Joint, he decided immediately to buy a franchise. He stated that Joint is in line with my vision of health and wellness. It’s a straightforward business model and the management was easily available to address all of my questions making the process very quick. He’s set to open its first clinic in March of 2021 in the middle of the pandemic. He encountered external setbacks. And however, the franchisee cited that the proactive support from The Joint team led him to push ahead. He also noted that The Joint concept is highly scalable and easy to set up due to the support system. Now he’s preparing to open up his second clinic in the fall of 2022 and his third in 2023. Thank you and stay well adjusted.
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.